Koichi Yatsuda: It's time for us to start Tokyo Electron financial announcement for the first quarter of fiscal year ending March 2025. Thank you very much for joining us today despite your busy schedule. I'm Yatsuda of IR department serving as a moderator of today's session. I would like to introduce today's attendees. Toshiki Kawai, Representative Director, President and CEO.
Toshiki Kawai: I am Kawai.
Koichi Yatsuda: Next, Hiroshi Kawamoto Senior Vice President and General Manager, Division Office of Finance Division.
Hiroshi Kawamoto: I am Kawamoto.
Koichi Yatsuda: Prior to the presentation, let me explain the flow of today's session. First of all, Kawamoto and Kawai will make presentations. After that until 6:30 Japan time, we will have a question-answer session very -- interesting questions from the audience. This meeting uses 2 channels of Webex for the simultaneous interpretation between Japanese and English. As we explained in our e-mail, you are kindly requested to use apps on PC or mobile terminals, if you plan to ask questions. But if you are not going to ask any questions, you can use telephones. Since this conference is intended for institutional investors and analysts, we would appreciate your understanding that we receive questions only from institutional investors and analysts. We will post the audio contents of this conference in Japanese and English on our website within a couple of days. It would be appreciated if you also visit our website. Now Mr.  Kawamoto will present the consolidated financial summary.  Mr.  Kawamoto, please.
Hiroshi Kawamoto: Once again, good afternoon. I am Kawamoto Finance Division. I'd like to present the consolidated financial summary of the first quarter of fiscal year ending March 2025. This slide shows quarterly financial summary. In the first quarter, I would like you to refer to the figures in the blue box. In the first quarter, we generated net sales of JPY 555.0 billion, 1.4% increase from the previous quarter. This profit was JPY 264.0 billion, 3.1% increase from the previous quarter. Gross profit margin was 47.6%, 0.8 percentage point increase due to the improvement of product mix in absence of one-off factors, such as processing inventory. Operating income was JPY 165.7 billion, 14.1% increase from the previous quarter. Operating margin was 29.9%, raised by 3.4 percentage points from previous quarter due to the increase of gross profit margin and decline of  SG&A-to-sales ratio, including R&D expenses as I said earlier. Income before income taxes increased by 5.9% to JPY 167.2 billion. Net income attributable to owners of parent was JPY 126.1 billion, 1.0% increase from the previous quarter. This is a graphic representation of the financial summary shown on the previous page on the chronological basis. You can see that both net sales and profit margins are improving gradually. This slide shows SPE new equipment sales by application. In the past quarter, from the bottom of this chart, sales to non-memory customers accounted for 72% non-volatile memory accounted for 2% and DRAM accounted for 26% compared with the previous quarter, net sales and proportion of DRAM non-volatile memory declined, while those of non-memory rose. This slide shows net sales by region. As for the net sales composition in the past quarter, as I described in the previous slide of sales composition by application, non-memory sales rose mainly, and regarding the composition proportion of Taiwan rose in particular, and also North America and China grew from the previous quarter. This slide shows Field Solutions sales. In the past quarter, Field Solutions sales were JPY 118.1 billion, declining by JPY 1.2 billion, mainly used equipment modification sales decrease while sales of parts and services rose along with improvement of utilization rate in the customers? fabs. This slide shows the balance sheet. Total assets were JPY 2.4955 trillion. Cash and cash equivalents were JPY 438.5 billion, declining by JPY 34.0 billion from the previous quarter due to the payment of dividend to the shareholders, tax payment and share repurchase. Notes and accounts receivable were JPY 358.8 billion, declining by JPY 32.5 billion quarter-over-quarter. Inventories were JPY 764.8 billion. Investment and other assets amounted to JPY 471.4 billion, growing by JPY 85.2 billion from the previous quarter, because of such factors as the increased market value of shares we own. For the liabilities and net sales shown on the right-hand side, liabilities were JPY 722.4 billion increasing by JPY 26.1 billion. Net assets were JPY 1.773 trillion, increasing by JPY 12.8 billion from the previous quarter. This change is primarily attributed to recognition of net sales increase as well as assets decrease due to dividend payment to the shareholders and share repurchase. The equity ratio was 70.3%. This slide shows the cash flow. The cash flow operating activities in the first quarter was JPY 183.7 billion. The cash outflow from investing activities was JPY 27.3 billion. The cash outflow from financing activities was JPY 194.4 billion due to the share repurchase of JPY 79.9 billion. The free cash flow was JPY 156.4 billion. We maintain the constant level. Finally, I will present the update of the share repurchase. As you can see, the share repurchase is based on the resolution of Board of Directors on May 10, was completed as of June 30, 2024. The total number of shares purchased from May to the end of June '24, amounted to 2,317,000 shares. total cost of share repurchase was JPY 79.9 billion. This concludes my presentation on the consolidated financial summary of the first quarter of fiscal 2025. Now let's move on.  Mr.  Kawai will present Business Environment and Financial Estimates.
Toshiki Kawai: Good afternoon.  I am Kawai.  I will present Business Environment and Financial Estimates. Let me start with the Business Environment. In calendar 2024, WFE market is growing in general, although some customers are changing their investment plans. At present, strong investment for AI servers continues, and utilization rate for PCs and smartphone applications is steadily recovering. Along with this strength, growing demand for DDR5 and HBM accelerates WFE spending for DRAM. In the advanced logic and foundry, there are rapidly growing needs for advanced packaging and testing as well as for the front-end equipment. In calendar 2025, in addition to the strong growth of AI servers, AI content in PCs and smartphone is expected to rise. Following the recovery of investment for DRAM, investment for NAND is also expected to resume as the inventory adjustment proceed. Further recovery of WFE spending in advanced logic/foundry is expected to offset low investment for mature nodes. We expect that those factors will drive double-digit growth in calendar 2025 WFE market. The leading-edge semiconductor technologies are essential for AI applications towards the realization of semiconductor devices featuring large capacity, ultrahigh speed and low power consumption, technology innovation is moving forward. Along with the technology evolution, including GAA backside PDN and HBM, TEL's business opportunity will further expand. This shows business progress in the first quarter of fiscal year in the March 2025. Regarding the financial performance, as Mr. Kawamoto presented earlier, both net sales and profit exceeded our guidance. We succeeded in winning PORs who are high value-added strategic products. We won development PORs in conductor etching for DRAM and cleaning system for advanced logic. Also for cryogenic etching, which is one of our strategic products, and bonders which are expected to grow furthermore, we are steadily proceeding with development and valuation for their introduction into high-volume manufacturing lines. Addressing the rapid growing needs for advanced packaging and testing, we are receiving a wide range of inquiries for coater/developer,  etching, batch film deposition, bonders and probers among others. In the SEMICON West in July, we released new products featured leading-edge technologies. The single wafer film deposition system Episode Series deploys a broad product portfolio to fulfill such needs as device scaling, 3D integration and diversification of deposition materials. Episode 1 effectively lowers contact resistance of metal interconnect in advance logic.  Episode 2 is composed of 2 models, namely duo matched reactor and quad matched reactor to deposit high-quality films with high throughput. Gas cluster beam system Acrevia contributed to cost reduction in EUV patterning processes, as it features low-damage, order ultra-fine line width formation and profile correction. We have already started delivering these systems to multiple customers for their evaluation and expect that they will contribute to the achievement of fiscal 2027 sales and profit goals set in the midterm management plan. In this quarter, we completed share repurchase of about JPY 80 billion that we announced in May. Next, I will present financial estimate for fiscal 2025. As I presented earlier, driven by the strong demand for AI-related devices, WFE market is currently in recovery. Towards calendar 2025, full-fledged WFE spendings are expected to start for advanced memory and advanced logic. We have revised the financial estimate upward by reflecting the first quarter results and latest market trend. Fiscal 2025 full year financial estimates are JPY 2.3 trillion net sales, JPY 1.072 trillion for gross profit, JPY 627 billion for operating income and JPY 478 billion for net income attributable to owners of parent. In order to capture future growth opportunity as much as possible, we plan to invest JPY 253 billion for R&D in this fiscal year. Net sales, gross profit, gross profit margin, operating income, net income and EPS are expected to hit record high. This slide shows SPE new equipment sales forecast in fiscal 2025. As shown here, sales are recovering after bottoming out in the first half of fiscal 2024, reflecting the latest market trend, we have revised the memory and logic sales proportion. This shows our plan for R&D expenses and CapEx. In fiscal 2025, as presented before, we expect R&D expenses of JPY 253 billion,  CapEx of JPY 170 billion and depreciation of JPY 63 billion, all of which are expected to keep record high. This slide shows the dividend forecast. Based on the revision of fiscal 2025 financial estimate, the full year dividend per share is expected to be JPY 519. This is my last slide showing total return amount over the past few years. The total return amount in this fiscal year, combining the dividend per share and share repurchase that I presented earlier is expected to be JPY 319.8 billion, hitting a record high. Thank you very much. This concludes my presentation.
Koichi Yatsuda: We will have question and answer session until 6:30 Japan time. You can ask questions either in Japanese or English. But as our speakers are on the Japanese channel, please allow us to take all your questions only in Japanese. If you ask a question in Japanese, please click the raise hand button on the Webex. For details refer to the instructions attached to the invitation email. I will call the name of the person who will ask a question one by one. Our secretariat will contact you in advance. So please check the Webex chat box. When asking a question, you are kindly requested to unmute your microphone for yourself, when you question is answered by our attendees, please hit the raise hand button once again to remove raise hand signal. For questions in English, please use Webex chat box and give your affiliation, name and your question in text and send it to our secretariat where we refrain from answering question, if your name and affiliation are not given. On the Japanese channel, we will translate your question -- English question, and I will read it out in Japanese and speakers will answer in Japanese. On the English channel, that question answer will be simultaneously interpreted into English on the real-time basis. So we'd like to take questions from as many participants as possible. We will take one question per person. If time allows, we will take additional questions. So first question.  The first question is from Mr. Yoshida of CLSA Securities Japan.
Yu Yoshida: I am Yoshida from CLSA Securities. Thank you very much. I have one question regarding Slide 17, the SPE new equipment sales forecast. When you look at the composition, when I calculate, foundry/logic is declined, while the DRAM sales increased for foundry/logic, the leading mature nodes and China, so there are a different categorization. So which portion is getting weaker. That's my question. On the other hand, for DRAM, the advanced China there are different categorization, again, which portion is getting stronger.
Toshiki Kawai: Let me answer to your question, I am Kawai. In principle, AI-related devices are the driver, growing very fast. On the same time for smartphones are also equipped with AI and investment for smartphone with AI is also increasing. Therefore, for some customers, the leading edge investment has been changed for AI-related devices or logic for AI server remains strong. For memory, demand is rather big. Therefore, some logic clients are replaced by memory production because of space limitation. So some customers are switching from logic line to memory. So leading edge advanced memory investment is growing rapidly. Some advanced logic has been revised. Because of that, this kind of competition has been represented. So as for China, you just mentioned in your question,  little by little, AI related investment is increasing gradually in China. The proportion, I believe, -- in the future, 25% to 30% should be the proportion. That's what I said before. For the second half of this year, the proportion of China will go below 40%. In other words, for the third quarter, the China proportion will be still above 40%. But this fourth quarter, the China proportion will go down below 40%. That's our expectation for China proportion. As for your question, the AI related devices is rather strong, and memory investment is growing right now. The PC and smartphone also have AI functions. Therefore, for PCs and smartphones the utilization ratio was not so high in the past. So there was no need for the new investment in the past for AI service. However, utilization rate has been increasing, so they have no choice. Our customers need to do some new investment. So this is the current status of the market.
Yu Yoshida: So in summary, for the China forecast, there have been no changes from the previous forecast. As for logic, there are some changes, but total amount declined a little bit, but the logic for server still strong. On the other hand, for DRAM the investment for the advanced process is accelerated. Is my understanding correct?
Toshiki Kawai: Yes, that's how we understand the market situation.
Koichi Yatsuda: Next question is from Mr. Wadaki of Morgan Stanley, MUFG Research Japan.
Tetsuya Wadaki: So it was really a drastic change information from the front-end process, you are ahead of others. As for the factors for upward revision, the first quarter was very good in position, but there are some overlaps in the performance focus, what was a good point in the first quarter in terms of market and international business.
Toshiki Kawai: Well, as for the market factors -- market-related factors, the customer's investment plan has been pulled forward and also additional investment for logic and AI there are some additional investment for that and also test process. There are some additional investment. So some investment is pulling forward and logic process does have additional investment, and also memory investment is recovering. So we putting forward AI related investment and memory related additional investment. These are the major factors. For packaging process, testing process, in other words, the wafer prober was also added. So these are the factors for this forecast.
Tetsuya Wadaki: I have a follow-up question. Earlier in the Yoshida-san's question. As for the China market forecast, in the future, the China proportion in sales will be shrinking to 25% to 30%. Actually, the China business is booming, that means the orders will be decelerated.
Toshiki Kawai: Excuse me, are you asking about the China market trend?
Tetsuya Wadaki: Yes, that's correct. I'm asking about China.  That's correct.  So when I heard the answer to earlier question, I think the China market will be decelerated drastically.
Toshiki Kawai: As for that issue, Mr. Yatsuda will answer to the question.
Koichi Yatsuda: As for China, from the -- there have been no major changes from our initial guidance.  But as Mr.  Kawai said earlier, especially in China, there are some acceleration of the investment. Therefore, I think the sales are recognized [indiscernible]  expectations. That's the reason why you can see some decline in the sales recognition in the second half of this year. Next question is from Mr. Nakamura of Goldman Sachs Japan.
Shuhei Nakamura: On Page 14, you talked about cryogenic etching for NAND. And you said development and variation for high-volume production is going well, could you give me some update on the past 3 months. American competitor also have a new product for cryogenic etching technology. So one year ago, you made announcement, so you can get some first comer benefits or advantage. But are there any other competitive advantage of your products? And are there any advantage you can use in your negotiation with your customers?
Toshiki Kawai: So first of all, updates over the past 3 months. So evaluation is going on very steadily. As far as we are concerned, from the previous record, we already delivered the valuation to the customers. And we have been working on the revaluation of our tool -- by using wafers at the customer fabs and the results are very well. So with high confidence level, we think we can take shares by using this product. However, we haven't won any official POR yet. So according to the customers' investment plan for next year and on, they will start the pilot -- investment for pilot plant. Therefore, maybe we can win POR in the near future so that we can start the production towards next year. As for the competitors, as Nakamura-san said earlier, we do have some first comer advantage as for this technology, and we are very confident about technology itself. Therefore, when customers start the investment for high-volume production next year and year after, I think this will contribute a lot to our sales. As for the evaluation proceedings, evaluation is proceeding very steadily. Therefore, towards the mass production transition, I think we have accelerated our efforts right now, in that sense, in order for us to win shares, we are making good progress. This technology does not use CF gas. Therefore, global warming potential is reduced by 84% compared with the previous technology. Therefore, the market for etching process getting larger. And this is good for environment, and we are getting very good promising data for introduction into the mass production lines. So we are accelerating our efforts so that we can make our system be adapted by the customer for mass production line for calendar 2027, $10 billion market is expected.
Shuhei Nakamura: Are there any changes in your prospects? I mean that how much share can you expect to get.
Toshiki Kawai: Yes, critical processes. As for critical processes, we are very steady, and we are confident. The market size depends on the number of tiers of the customers, how much they are going to use cryogenic etching process. Depending on that market size will change. But in the future, the number of tiers we're increasing. And when things are getting [indiscernible] and critical our etching will be adopted by customers more and more. Under such expectation, we are working very steady for the valuation process.
Koichi Yatsuda: Next question is Mr. Shimamoto of Okasan Securities.
Shimamoto Takashi: So I have a question 2025 WFE market. So I think your slides are not changed from the previous meeting. However, I want to get some focus for the major customers' investment plan for each major application, and also including China, I want to ask about your opinion about the forecast of the WFE market in 2025.
Toshiki Kawai: The investment for DRAM is very well. So next year, you can see the increase in investment for DRAM. For 3D NAND, the current investment -- actually the amount of investment is slightly smaller than the investment for DRAM or advanced logic. Probably, the investment for 3D NAND will be close to double next year. The investment for advanced logic for AI servers, PCs and smartphones are expected to increase and for industrial applications, the inflation pressures will push up the prices and also EV related trend has some impact, so as for industrial application for 1 year to go, there are some adjustments, and adjustment will continue for about 1 year for China. So emerging chip makers are active in investing very much, more than 20 customers started to make investment altogether, and that investment was completed this cycle. But this year onward, the investment in China is expected to decrease. I said the proportion of China is getting closer to the previous level, little by little. The investment for advanced area will be increasing. And also, there are some additional investment for PCs and smartphones and China proportion gets smaller a little bit. That's how we view for next year. I have a follow-up question. There was a surprise in the recent financial announcement of some company in that sense, for the logic foundry, I believe you received inquiries. Therefore, you are able to see some increasing trend in the leading-edge investment in next year. For this fiscal year, yes, we have revised this area to come up with the revised financial estimates. For next fiscal year it really depends on customers. So we are not in a position to say anything about next year. But  we think customers are expected to continue investment.
Koichi Yatsuda: Next question is from Mr.
Yukihiro Aiba: So I have a question regarding the gross profit margin. So the first, 47.6% is rather high gross profit margin for this quarter and product mix has improved. And also, there is no one-off investment inventory loss. That's what you said earlier. When it comes to product mix, could you give me more details is that because of the applications because of the regions, could you give us some reasons for the product mix improvement. And also, I look at the plan for this year, second quarter. So the gross profit margin decline and third quarter gross profit margin goes up once again. So how do we understand your plan for the gross profit margin for the following quarters within this fiscal year.
Hiroshi Kawamoto: This is Kawamoto -- let me answer to your question. For your second question, for the second quarter, gross profit margin has declined. That's what you said in your question. And after that, the second half of this fiscal year, gross profit margin is expected to grow. Let me explain why this happens. As you pointed out, as for the first quarter, gross profit margin was very good. The very good results were achieved. As Kawai said earlier, there are some pulling forward and sales increased significantly. As for the second quarter, because of the backlash of the good performance in the first quarter, there is a slight decrease in the sales. In the previous fourth quarter, so inventory disposal or the strategic sales of the old model parts are also incorporated. For the first quarter and second quarter, when you compare those 2 quarters, in our case, the cost increases in the second quarter that's a kind of trend of our company, R&D expenses also increased in the second quarter. That's the trend of our company. That's the reason why margin for the second quarter decrease. I think the operating profit margin declined by 0.7 percentage points. And for the second half of this year, sales are expected to increase by JPY 100 billion. Through this upward revision, [indiscernible] product profit margin will make a contribution to the sales of the second half. In order to achieve those profit margins, we'd like to navigate effort to achieve those forecast.  Thank you.
Koichi Yatsuda: Yes, please.
Unknown Analyst: I have -- I want to get some clarification according to your first explanation, first quarter, which was good. You talked about product mix improvement. Could you give me some details about the improvement of product mix? Which drives good results for the first quarter.
Toshiki Kawai: This is Kawai.  Let me answer to your question. The major growth driver was Taiwan, DDR5, DRAM, HBM, GPU and testing processes in those areas, the sales to Taiwan was rather significant. And investment in North America was also big for logic mainly. For China, the China customers pulled forward their investment. So there are some factors to increase our sales. So there are various factors actually. But by on March, the high value added can be achieved. Also, the depreciation has been completed in high value-added products deliver high profit margins. Therefore, the marginal profit has been increasing January. So when you think on the operating profit margin, maybe we should think about the fixed cost ratio against sales. But by and large, the gross profit margin of the product has been increasing. On the other hand, for example, inventory turnover ratio our models are changing. So when there is a new product penetration, because of the part sales for the old models, we have set strategic price for the order model or when the new performance, new product is high performance. So we need to dispose inventory to some extent.  That's what Mr.  Kawamoto said earlier. So these are the factors as -- the result will occur first quarter and second quarter in terms of the gross profit margin.
Koichi Yatsuda: Next question is from Mr. Yamamoto of Mizuho Securities.
Yoshitsugu Yamamoto: I have a question regarding the [HfO] NAND. So next year, 2025, your customers will start investing in pilot because the mass production [can start in] 2026 in the -- in that sense, within this year, you can decide -- you should win mass production POR, but in November next financial announcement, if Mr. Kawai doesn't say anything about the winning of the mass production POR. That means you fail to take share, but -- on the other hand, when you win the mass production POR, maybe once maybe you can -- your share for the NAND channel [indiscernible] should be increasing. However, because of the interaction of [Cryo 3.0] it might be difficult for you to further improve your share.
Hiroshi Kawamoto: In comparison with the cryo 2.0, I heard that TEL's product is much higher in specification. However, from the people in the fab, when there is a product at the same performance, it is difficult what reluctant to increase the number of tails products because of the switching cost.
Yoshitsugu Yamamoto: Even if you can get the PORs. How do you think about the future? It might be difficult for you to answer, but I really appreciate your answer.
Hiroshi Kawamoto: It is customers who make a decision for adoption. But number of -- when the number of layers starting is going up, our product advantage is really high. That's how customers evaluate our product. For which layers do customers use our equipment. So as Mr., Yatsuda said earlier in 2026 and onward, we will be able to win shares driven by this new product. The variation by customer for the mass production, and they also changed their device structure, there are many things happen. So we cannot say when we can get the mass production POR. There's also a factor of the yield enhancement evaluation. So at which point of time, can we get the POR? I won't say that, but I'm sure that we are able to increase our share because of this new product from 2026. Even means in November, Mr. Kawai doesn't say anything about the mass production POR winning. Maybe in the future, because customers want to raise or increase yield, customer may decide to replace the competitor's product with your products. So I don't know the replacement takes place all of sudden, that customers' decision when to replace the equipment. But evaluation is going on very steadily.
Koichi Yatsuda: Next question is given by -- let me just read it out. The question from [indiscernible] from Allianz Global Investor. The question is, could you please explain what are the major reasons of OPM beat? And why you revised up fiscal OPM guidance.
Toshiki Kawai: Thank you very much for your question. Let me answer to your question in Japanese. First of all, as for net sales, as I reported earlier, we have revised our sales by JPY 100 billion, and that has some impact in first quarter. As you pointed out, our results were rather good. When you look at the results in the past quarter, we are scrutinizing the figures for the second half of the year, and we think we can improve our profit margins to some extent. That's the reason why we have decided to revise profit margin upward, although that is a slight revision upward. So 27% operating profit margin for a full year basis, that's what I presented earlier in my presentation. As I said in the beginning, so value added or the product has been increasing in the leading edge area, we are working on development -- so the gross profit margin is going up because of the increase in the marginal profit ratio. So together with the value added profit margin has been increasing. And in commodity area, depreciation has been declining. And this time, the number of process is gradually increasing. Top line goes up and R&D expenses, although we have revised upward top line increased because of that the ratio of R&D has declined. So these are the factors to improve the profit margins.
Koichi Yatsuda: Next question is from Mr. Hirakawa of BOA Securities.
Mikio Hirakawa: Regarding China investment, I will ask a question. For next year, 25% to 30%. I think the proportion goes down, but still the China proportion is rather high because they continue their investment. I want to know more details -- content. Based on the inquiries you are receiving right now, what sort of investment is now going on in China. Do you think they are investing for capacity increase? Or do they investing for technology example from 94 to 40 or 40 to 28-nanometer. Are there any trend in the investment in China? Are there investment for capacity enhancement or investment for the shrink -- further shrink.
Toshiki Kawai: For industrial, let us say NODE devices, they are investing quite a few in those areas. And also, the investment for pilot has been completed, 1 cycle. So proportion is expected to decline. Actual amount of investment is expected to decline. So Chinese customer may continue the investment, but they may suspend investment. There are so many customers in China. And the customers have different purposes, objectives. So when it comes to trending,  it's so difficult to give you 1 trend, which cover entire China, but for power electronics, I talked about EV a little bit earlier. Investment for power electronics for EV in particular will be revised. That's what I said earlier. That has some impact. I didn't say 25% to 30% for next year. But previously, the China proportion was about 25% to 30%. That as a whole in industry, the Western customers, the proportion of China was more than 30% in the past as well. But maybe in the future, the proportion of China will be about 25% to 30% because of the recovery of the investment for the advanced nodes.
Mikio Hirakawa: I have 1 follow-up question in China. There are certain subsidiaries coming out, does that have some positive impact -- can you tell some impact when you receive inquiries.
Toshiki Kawai: In fact, we are sensing from the inquiries we received.
Koichi Yatsuda: Next question is from Mr.
Masahiro Shibano: I am Shibano from Citigroup, WFE market assumption, and I want to ask question regarding the revision of your plan, '24 and '25, how you did -- you said there is no major change in the WFE market forecast. However, your sales plan for fiscal 2025 has been revised upward JPY 100 billion, but this time, you have revised your sales forecast more than -- slightly more than JPY 100 billion because of the positive impact of WFE markets growth -- do you get some advantages from this kind of market trends?
Toshiki Kawai: I think both of them have some impact -- that's the reason why we have revised our sales focus slightly upwards.
Masahiro Shibano: I have follow-up questions. The sales in China, I want to get some clarification for last quarter and second quarter, the proportion of China remain unchanged.  Is that correct?  Then 50% a bit in the first half and 30% in the second half of this year. So when you look at this fiscal year, next fiscal year, or after year, are there any trend -- increasing trend or decreasing trend?  Rather the proportion -- and I want more to know about the second quarter up until the end of this year 40% maintained -- so second quarter did you say?
Toshiki Kawai: Second quarter, it depends on the timing of delivery. Having said that -- as for the peak. The first quarter in this fiscal year, hit the peak. I think we are a little bit behind the [American] 2 vendors, but little by little, the proportion goes down little by little for China. As I said earlier, the third quarter still China proportion is around 40% above. But in the third, fourth quarter, the China proportion will go down to the 30% or above. For next fiscal year, the proportion goes down compared with the proportion of China for this fiscal year because of industry application investment will be decreased to some extent. The amount of the sales to China also expected to decline. Let me add one more comment. For next fiscal year, we haven't issued our guidance yet. However, based on customers' investment. Our current focus is that the China investment next year will be smaller than this year, although we didn't issue any guidance for next fiscal year.
Koichi Yatsuda: Next question is given by text. [indiscernible] from New Street Research. One of your major U.S. logic customers plan to reduce CapEx spending by close to 20% next year versus 2024. Do you expect your other customers in leading-edge logic to increase spending enough to still drive strong growth in advanced project revenues next year?
Toshiki Kawai: For next fiscal year, investment for logic is expected. So it's not related to customers, but as we said in my presentation, investment for AI-related devices, not only servers, but also PC and smartphone will have AI function. And that investment will start. So customers utilization ratio for smartphone and PC has been increasing. So they need to purchase process tool, otherwise you are not able to satisfy the demand. Therefore, next year, we are expecting to receive strong inquiries. The amount will be more than this year.
Koichi Yatsuda: We have another question in text. The question is from Tammy Qiu-san of the Berenberg. Let me read out the question. What is driving the additional DRAM revenue versus previously expectation versus last quarter?
Toshiki Kawai: Yes, there has been some increase. So we have sales composition issued as our guidance. And in our presentation,  in the previous quarter, we expected the DRM sales composition -- the first half is 25%, and this time 27%. We have revised upwards for the second half 26% was expectation. However, now we have revised upwards to 34% for the second half. So these are the figures we calculated based on the inquiries from the customers. Are there any other questions? We'd like to close financial announcement. Before closing, I'd like to make announcement. We'd like to continuously improve our IR activities based on your precious feedback. So we appreciate your kind cooperation in filling out the questionnaire before you exit Webex. Thank you very much for taking time to join this conference despite your busy schedule today. Thank you very much.